Operator: Ladies and gentlemen, thank you for standing by and welcome to the Matthews International First Quarter Financial Results Conference Call. At this time, all the participant lines are in a listen-mode. There will an opportunity for your questions and instructions will be given at that time. [Operator instructions] As a reminder, today's call is being recorded. I'll now turn the conference over to Mr. Steve Nicola. Please go ahead, sir.
Steve Nicola: Thank you, John. Good morning. I’m Steve Nicola, Chief Financial Officer of Matthews. Also, on the call this morning is Joe Bartolacci, our Company’s President and CEO. We have posted on our website, which is www.matw.com, the first quarter earnings release and financial information we will discuss this morning. The earnings release can be found on our home page for the quarterly financial data, on the top of our home page under the Investor tab, click on Investor News, then click on Financial Reports to access the information under the section Matthews International Quarterly Reports. Today's call will be available for replay later this morning. To access the replay dial 1320-365-3844 and enter the access code of 442278. The replay will be available until 11:59 PM February 9, 2018. Before beginning the discussion, at the advice of legal counsel, I have been advised to read the following disclaimer as it pertains to forward-looking statements. Any forward-looking statements in connection with this discussion are being made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve known and unknown risks and uncertainties that may cause the Company’s actual results in future periods to be materially different from management’s expectations. Although the Company believes that the expectations reflected in such forward-looking statements are reasonable, no assurance can be given that such expectations will prove correct. Factors that could cause the Company’s results to differ from those discussed today are set forth in the Company’s annual report on Form 10-K and other periodic filings with the SEC. To begin the conference, I'll review the financial results, Joe will then provide general comments on our operations. For the quarter ended December 31, 2017 the company reported earnings of $1.10 per share compared to $0.32 per share a year ago. The increase primarily reflected the following; acquisition synergy realization, lower acquisition-related costs compared to a year ago, benefits from recent U.S. tax legislation, higher sales in several of our businesses including marking products and cremation equipment and an increase in U.K. and Asia Pacific brand sales, the impact of recent acquisitions and favorable changes in currency rates. On a non-GAAP adjusted basis, earnings per share for the fiscal 2018 first quarter were $0.64 per share compared to $0.66 per share a year ago. The significant factors in the year-over-year change in non-GAAP earnings per share included acquisition synergy realization, higher sales of marking products, cremation equipment and an increase in U.K. and Asia-Pacific brand sales, impact of recent acquisitions, lower income taxes as a result of the favorable impact of international structuring and a reduction in U.S. federal income tax rates and continued slow brand market conditions in the U.S. and Europe and lower sales of caskets and memorials reflecting an estimated decline in U.S. casketed deaths. A reconciliation of non-GAAP earnings per share and adjusted EBITDA were provided in our press release yesterday, which has been posted to our website. Non-GAAP adjustments for the first quarters of fiscal 2018 and fiscal 2017, primarily included acquisition-related costs, intangible amortization expense and the nonservice portion of pension and postretirement benefits expense. The fiscal 2018 non-GAAP adjustment for income tax regulation changes consisted of an estimated favorable tax benefit of approximately $38 million for the reduction in the company's net deferred tax liability, principally reflecting lower U.S. federal tax rates, offset partially by an estimated repatriation transition tax charge of approximately $13.5 million. Consolidated sales for the quarter ended December 31, 2017 were $369.5 million compared to $349 million for the same quarter a year ago. The increase principally reflected higher sales of marketing products in our industrial technology segment and cremation equipment and related products, our sales in the U.K. and Asia-Pacific brand markets, benefits from recently completed acquisitions and the favorable impact of changes in foreign currencies against the U.S. dollar. Changes in foreign currency rates were estimated to have a favorable impact of $7.4 million on fiscal 2018 first quarter consolidated sales compared to a year ago. These increases were partially offset by the impact of slower brand market conditions in North America and Europe and lower sales volumes of memorials and caskets. Consolidated operating profit for the quarter ended December 31, 2017 was $17.9 million compared to $19.1 million for the same quarter last year. The decrease primarily reflected higher intangible amortization expense in connection with recent acquisitions, the impact of lower sales in the North America and Europe brand markets and a decline in memorial and casket sales volumes. These items were partially offset by the impact of acquisition synergy realization and a reduction in acquisition-related charges. In the SGK Brand Solutions segment, sales for the first three months of fiscal 2018 were $191.8 million compared to $175.8 million a year ago. The increase reflected sales growth in the U.K. and Asia-Pacific markets, benefits from recently completed acquisitions and the favorable impact of changes in foreign currency values against the U.S. dollar. These increases were partially offset by slower market conditions in the U.S. and Europe. Operating profit for the SGK Brand Solutions segment for the first quarter of fiscal 2018 was $3.2 million compared to $4.2 million for the same period a year ago. The decrease in segment operating profit reflected lower sales, excluding the impact of acquisitions and an increase of approximately $1.5 million in intangible amortization related to recently completed acquisition. These decreases were partially offset by the favorable impact of changes in foreign currencies against the U.S. dollar of approximately $560,000. Additionally, fiscal 2018 operating profit for the SGK Brand Solutions segment included acquisition integration costs and other charges totaling $3.8 million compared to $6.2 million in fiscal 2017. Memorialization segment sales for the first three months of fiscal 2018 were $144.9 compared to $145.6 million a year ago. The sales decrease reflected lower sales volumes of memorials and caskets, partially offset by an increase in sales of cremation equipment and related products and the benefits of recently completed acquisitions. Memorialization segment operating profit for the fiscal 2018 first quarter was $14.5 million compared to $14.4 million for the same quarter last year. The increase in the segment's operating profit reflected the benefit of acquisition synergies and other productivity initiatives and higher cremation equipment sales, which are partially offset by the impact of lower memorial and casket sales volume. Fiscal 2018 operating profit for the Memorialization segment also included acquisition integration costs and other charges totaling $807 million compared to $2.1 million in fiscal 2017. Industrial technology segment sales were $32.8 million for the first three months of fiscal 2018 compared to $27.6 million a year ago. The increase primarily reflected higher sales of marketing products and the benefits from recently completed acquisition and the favorable impact of changes in foreign currency values. Operating profit for the industrial technology segment for the three months ended December 31, 2017 was $318,000 compared to $506,000 for the same period a year ago. The benefit of higher sales were offset by an increase in intangible amortization related to recently completed acquisitions and investments in the segment's product development project. A summary of operating results by segment including non-GAAP adjustments for the quarter are posted on our website for your reference. Gross profit for the fiscal 2018 first quarter was $130.7 million compared to $127.3 million for the same quarter last year. The increase in gross profit primarily reflected the impact of higher consolidated sales and the realization of acquisition synergies and other productivity initiatives. These increases were partially offset by lower sales excluding acquisition in the North America and Europe brand markets. Consolidated gross profit as a percent of sales was 35.4% for the fiscal 2018 first quarter, compared to 36.5% a year ago. Consolidated selling and administrative expenses as a percent of sales were 30.5% for the three months ended December 31, 2017, compared to 31% for the same quarter last year. The improvement primarily reflected the benefits of cost reduction initiatives including acquisition integration synergies and lower acquisition-related charges. Investment income was $467,000 for the three months ended December 31, 2017, compared to $337,000 a year ago, principally reflecting the return on investments held in trust for certain of the company's benefit plan. Interest expense for the fiscal 2018 first quarter was $7.8 million compared to $6.1 million for the first quarter last year. The increase reflected higher average borrowing levels, primarily related to acquisition and higher average interest rates in the quarter, partially reflecting the company's recent bond offering. During the quarter, the company completed a $300 million eight-year bond offering at a fixed interest rate of 5.25%. Proceeds from the offering were used mainly to repay outstanding borrowings under the company's domestic credit facility. At December 31, 2017, outstanding borrowings under the domestic credit facility were $565 million. Additionally, during the quarter, the credit facility was amended to increase certain leverage ratio covenants. The facility matures in April of 2021. Long-term debt at the end of the current quarter approximated $1 billion compared to $911 million at September 30, 2017. The increase primarily resulted from additional borrowings for the company's recent acquisitions. Other income and deductions net for the fiscal 2018 first quarter was a net expense of $659,000 compared to net expense of $555,000 a year ago. Other income and deductions generally include among other items, bank-related fees and the impact of currency gains or losses on certain intercompany debt and foreign denominated cash balance. The company's consolidated income taxes for the three months ended December 31, 2017, represented a benefit of $25.2 million compared to expense of $0.5 million for the same period last year. As noted earlier, the income tax provision for the current quarter includes an estimated favorable tax benefit of approximately $38 million for the reduction in the company's net deferred tax liability, principally reflecting lower U.S. federal tax rates offset partially by an estimated repatriation transition tax charge of approximately $13.5 million as a result of the recently enacted U.S. tax legislation. The current quarter also reflected the impact of the realization of certain tax credits in connection with company's recent international structuring and a lower blended U.S. federal income tax rate on current income. Preliminary balance sheet and cash flow statement data is posted on our website for your reference. For the fiscal 2018 first quarter, the company purchased approximately 76,000 shares under its share repurchase program at $4.4 million. At December 31, 2017, approximately 1.7 million shares remained under the current share repurchase authorization. Additionally, as we previously disclosed, we received a claim in September 2014 seeking to draw upon a letter of credit issued by the company of 8.6 million British Pounds with respect to a performance guarantee on a project in Saudi Arabia. We assess the customers find it of merit and accordingly initiated an action with the court. Pursuant to this action, a court order was issued in January of 2015, requiring that upon receipt by the customer, the funds will be -- were to be remitted by the customer to the court pending resolution of a dispute between the parties. As a result, the company made payment on the drawing financial institution for the letter of credit and the funds were ultimately received by the customer. The customer did not return the funds that the court has ordered. On June 14, 2016 the court ruled completely in favor of Matthews on following a trial on the merits. However, the customer has not honored this court order and remitted the funds. The company continues to monitor the customer's noncompliance with the court order and our assessment of collectability related to this matter. Accordingly, it's possible that this matter could have an unfavorable impact on the company's future results of operations. Finally, the Board yesterday declared a dividend of $0.19 per share on the company's common stock. The dividend is payable February 19, 2018 to stockholders of record February 05, 2018. This concludes the financial review and Joe will now comment on the company's operations.
Joe Bartolacci: Thank you, Steve. Good morning. Our first quarter results were modestly ahead of our expectations. Continued strong results in our industrial technologies group, strong performance in our SGK Brand business from the U.K. and Asia markets, improved results out of our cremation equipment business and continued synergy capture from several acquisitions, all helped to offset lower volumes in our caskets and cemetery business and soft market conditions in our North American and EU brand business. Having said that however, during the quarter, we saw significant improvements in our business. We got clarity of our ongoing interest costs as a result of our bond offering. We saw a return to strong tobacco orders in our EU brand business as well as significant increases in orders for our engineering business, where we design and built web-based solutions utilizing our technical cylinders and rollers. We also saw increased order activity in our industrial technologies business for both printing equipment and warehouse automation software solutions. As you may be aware, our recent acquisition of Compass Engineering, a leading provider of automated warehouse software to the logistics industry is a significant addition to our strategy of becoming an integrated provider of technology to the e-commerce warehouse group saw offering, integrated printing solutions with software and picking technology. In our Memorialization segment, as severe flu season is causing increased demand of our funeral home products at least in this early part of the second quarter. The severe weather however is impacting our Memorial sales due to the inability to set markers or stone in the cold weather. We expect there to only be a delay and to recover those sales later in the year. In our Brand business, recent wins in North America and the U.K. and cost initiatives look promising for a better year in this business as well. All in all, we are pleased with the direction of our businesses and feel confident of delivering a strong full-year result. On a full-year basis, we expect to deliver significant improvement in our adjusted EBITDA and another strong year of cash flow from operations and free cash flow approaching $4 per share. All this should result in an increase in our non-GAAP earnings per share of at least 10%. Again, I remind you that the results and guidance we are providing today includes an estimated $7 million of research and development spending in our new product for our bond products division. We are on track for early third quarter beta testing and expect to have a commercialize product by the end of the calendar year. We remain excited by the opportunities that are created by our new product and are confident of the value proposition that it creates for our customers. Regarding our acquisitions, the integration cost that we will incur this year are declining as we move into the final year of our significant integration. Although several smaller acquisitions will not be complete, the significant expenditures should end this year. The investments we made during these conditions, particularly in our ERP system are expected to drive down cost and lessen the cost to achieve benefits from future acquisitions. Regarding new federal tax law, we estimate that the benefit derived from the lower U.S. income tax rate generally offset increased interest expense resulting from our recent bond offering, but have a significant reduction to our deferred tax liability by $38 million. With that, I'd like to open it up to questions.
Steve Nicola: For those of you, who will be asking questions, we request that you limit them to one question and a follow-up question until all those who wish to participate in the Q&A session have had an opportunity to do so. John?
Q - Daniel Moore: Good morning, Joe. Good morning, Steve.
Joe Bartolacci: Hi Dan.
Steve Nicola: Good morning, Dan.
Daniel Moore: I was hoping Joe might spend a minute or two elaborating on Compass Engineering, what they bring to the table for you more generally and then just granularly revenue contribution for the quarter if any and your expectations for fiscal '18.
Joe Bartolacci: Sure. Let's start, that sounds like a multipart question. So, let's start with what it brings to us. Recently in the last several four, five years we required impairment controls, which is part of the integrated solution we're trying to provide. Pyramid focused on warehouse control software system, principally for retailers and brands. What Compass brings to us is the same type of warehouse control automation for the logistic companies with major transportation companies and delivery companies across the United States. Our expectations over time to strategic bring these two businesses together to provide a solution to go end-to-end from a retailer's website all the way to your doorstep on one single platform. We coupled that with the technologies that we've added on the printing side and the new product we have laid out and the expectations that additional technologies in the automated warehouse we're having solution we think we're going to bring about and Compass is a big part of that. As a practical matter, one of those things you'll see in our P&Ls as we move forward is Compass being a low asset-based company brought to us a significant addition to our intangible assets. This year we're going to start to push close to $30 million in this year in intangible amortization as a result of recent acquisitions, one of them being Compass which is a significant contributor there. We expect Compass this year to push an additional couple $3 million at least of EBITDA to our P&L from where we started off. So that's -- I think I've answered all your question at this point Dan, if you have more, let me know.
Daniel Moore: No that's great. Very good and then I have -- the second was just any update -- you gave some color, but on the beta test of the new print solution, any additional color you would be willing to give in terms of market opportunity as well?
Joe Bartolacci: We're getting our Board of Directors out to see the operation that's what we said. We are going to have a sample test provided to our first beta group which will be our Board of Directors here in February. So, we're pretty confident where that's coming out and looking forward to what it can do. The value propositions for our customers with what we think is the most compelling part of the story around that product and the ability to eliminate a large part of the downtime associated with repair and maintenance of the product is the value proposition itself. We expect that they will be in market by the end of the calendar year. You know what product development is like right now. We're bullish on that timeline. Our expectation is that it will be there and we'll start to see revenue offsetting some of that development cost early calendar year 2019.
Daniel Moore: Very helpful. Thank you.
Operator: Next, we'll go to Jamie Clement with Macquarie. Please go ahead.
Jamie Clement: Hey Joe. Hey Steve, thanks a lot in advance for taking my questions.
Joe Bartolacci: Hi Jamie.
Steve Nicola: You're welcome. Good morning, Jamie.
Jamie Clement: Hey Joe. I know, listen I know it's a sensitive subject, but with respect to all the news about the very, very severe flu season, that we started to get the last I don't know, three, four, five, weeks something like that. Have you been seeing an uptick in your memorialization business over the last month or so?
Joe Bartolacci: No question Jamie. One of the many factors that are causing us to increase our guidance for the year we are seeing it on the funeral home side. Today we expect that to translate to the Memorial side, but as I said in my comments, that flu season in terms of severely cold weather, we've also seen a modest downtick in our cemetery products setting of stone and bronze excuse me, is difficult in the cold weather. We expect that to be a multi-quarter uptick for us.
Jamie Clement: Refresh my memory please, you would so and I think you were maybe just saying this, but would you expect to see more of a maybe a rebound in casket sales in the March quarter and then when the ground thaws and that kind of thing, you'd expect to see fall through more on the memorial side in the June quarter. is that right?
Joe Bartolacci: Thanks for making my job easy Jamie, thanks exactly right.
Jamie Clement: Okay. Okay. All right, great. I'll get back if queue. Thank you very much.
Operator: And our next question is from Liam Burke with B. Riley FBR. Please go ahead.
Liam Burke: Yes. Thank you. Good morning, Joe. Good morning, Steve.
Joe Bartolacci: Good morning, Liam.
Liam Burke: Joe you talked about some awards in the North American market in SGK, could you just give us a little more detail on that and will that help you offset the trend in the CPGs pulling back on SKUs?
Joe Bartolacci: Well, we've had a couple of recent awards. We don't want to call out names and we're not going to get into the business of calling out wins and losses. This is a business where there is always ups and downs with respect to wins and losses with customers. Not significant numbers, we have fortunately been able to land a couple of very significant new accounts that are -- that one, did not contribute anything into the first quarter and one that is only ramping up and will take to be a multi-year ramp-up for us. They are significant accounts and will be beneficial to us. They are in spaces like retail where lot of the private label work is moving and in pharmaceuticals, which is a little bit off the CPG side of the business. So, we think is a good balance for where we can split our risk.
Liam Burke: Terrific. Thank you. Steve, based on the fact sheet you put out this morning, I took the operating income and just netted out your CapEx. You are cash flow negative. Is it timing of working capital or you obviously expect to generate $4 in free cash for the year, but was there anything in the quarter or is it just timing?
Steve Nicola: It's generally timing, but our fiscal first quarter just from a seasonality standpoint tends to be the slowest from a cash flow perspective. So, no, with respect to Joe's remarks on projections for the year, we expect that we'll achieve those cash flow result over the next three quarters.
Liam Burke: Great, thanks Steve. Thanks Joe.
Steve Nicola: No problem.
Operator: [Operator instructions]
Joe Bartolacci: Okay John. Well that seems to be the end of our session this morning. We appreciate everyone participating in the call and we look forward to our call after our second quarter earnings release. Thank you.